Operator: Welcome to the MakeMyTrip's Fiscal 2013 Fourth Quarter and Full Year Earnings Call. The company wishes to remind you that certain statements made on this call are considered forward-looking statements within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future performance and by their nature are subject to inherent uncertainties. Actual results may differ materially. Any forward-looking information relayed on this call speaks only as of this date, and the company undertakes no obligation to update the information to reflect changed circumstances. Additional information concerning these statements is contained in the risk factors and forward-looking statements section of the company's annual report on Form 20-F filed with the SEC on June 25, 2012. Copies of this file are available from the SEC or from the company's Investor Relations Department. And now I would like to introduce the speakers from MakeMyTrip, Deep Kalra and Rajesh Magow. Please go ahead, gentlemen.
Deep Kalra: Yes. This is Deep and Rajesh. Thank you, and welcome to MakeMyTrip's Fiscal 2013 Fourth Quarter and Full Year Conference Call. Let me begin by providing a summary of our past year's and quarter's achievements. Rajesh will then give you a detailed financial review followed by a Q&A session. In fiscal 2013, MakeMyTrip achieved nearly $1.2 billion in total gross bookings, representing an increase of 32.3% year-on-year in constant currency terms. Furthermore, we succeeded in improving our product mix as approximately 35% of total annual net revenue was generated from non-air businesses, which is a significant increase on the less than 25% in the previous fiscal year. In the fourth quarter, we reported over $311 million in total gross bookings, representing an increase of 34.1% year-on-year in constant currency terms. We achieved revenue less service costs of $21.8 million and incurred a loss of $0.17 on an adjusted diluted earnings basis as we pursued our stated strategy to gain substantial market share by continuing to invest in changing our revenue mix towards more hotels and packaging. Throughout the year, we have been highlighting 3 strategic initiatives for our company. First, we are improving our business mix towards higher net revenue margin business lines. Second, we are proactively investing to gain further market share. Lastly, we are focusing on automation and developing new technologies. I'm happy to report that we have made very good progress on all these fronts. To elaborate, on the first point, we have succeeded in improving our business mix towards higher net revenue margin business lines as more than 31% of total annual net revenue was generated from Hotels and Packages, a substantial improvement from 21% in the previous fiscal year. We accomplished this by broadening supplier relationships, offering superior customer experience and making strategic acquisitions. Given the transactions growth momentum experienced in H&P, we are confident of our ability to further shift the net revenue mix in favor of H&P over time, as we continue to bring the nascent hotel market in India online and fill up HotelTravel.com in Southeast Asia. In Q4, our H&P transactions rose by 97.1% year-on-year and propelled our annual growth rate to 65.6% year-on-year for fiscal 2013. This was driven by the traction in our domestic online hotel transactions, which increased by over 100% in the quarter. We had gained this rapid growth thanks to continuous efforts on deepening our business with key hoteliers, improving online content and further enhancing users' desktop and mobile experience. For example, in April we launched Last Minute Hotel deals which offers customers savings at deeply discounted rates of same night check-in at participating hotels. We are excited with this new win-win feature, we would help customers save money and hoteliers improve occupancy rates by proactively managing their perishable inventory. Now let's move onto HotelTravel.com. As we had announced at the time of the acquisition, our plan was to scale up the online hotels business by cross-sharing their 90,000-plus online hotels with MakeMyTrip.com. The goal is to offer our India-based customers a wider selection of overseas hotels with a heavy focus on outbound travel to Southeast Asia. I'm delighted to share that the integration is going well, and we are confident that the acquisition will solidify our lead in the online hotel and packages market in India while also improving our net revenue mix. As the hotels business continues to flourish online, we remain focused on creating and selling attractive holiday packages to our customers with an emphasis on driving increased bookings online. In the past quarter, we've managed to grow transactions in our holidays business by over 60% year-on-year and by over 73% for the full fiscal year. We also managed to improve net revenue margins for the quarter with better demand forecasting, smarter supply contracting and targeted marketing to all our key destinations. Additionally, we continue to provide richer media content and make more holidays available on MakeMyTrip.com, which is helping to drive very robust online bookings. Not only are we making more key destinations available online, we are also offering customers the ability to pick and choose from a variety of packages and wide versatile options. We believe this flexibility will further empower them to go to MakeMyTrip.com. Over time, we are confident that this segment of the market will shift online as our team continues to innovate, driving the inevitable change in buying behavior. Now let me comment on the second strategic initiative on gaining market share in India despite the shape of the end markets. As the industry continues to grapple with higher year-on-year air fares, domestic air passenger traffic declined by 2% in the quarter. Despite these ongoing challenges, we achieved 13% year-on-year growth in executing transactions in Q4. We believe ongoing enhancement of customers' online shopping experience, including improved search filters, addition of new airline content and a refreshed pricing calendar has helped us maintain a healthy, approximately 12%, domestic air market share as per DGCA in the month of March. For the full year, we grew our total Air Ticketing business by over 2%, even though the domestic air market declined 5% as we gained share from our online and off-line competitors. Strategic marketing spend is a key part of growing market share in India, and we continued our trend of innovative marketing this quarter. In April, we ran a joint marketing campaign with the Sunrisers Hyderabad, one of the cricket teams of the Indian Premier League, to promote our online hotel offering. Being the team's principal sponsor, MakeMyTrip has its logo prominently displayed on the front of each player's jersey. The campaign was supported with TV commercials that ran nationwide in April, featuring Indian and international cricket stars sampling the benefit of booking hotels online with MakeMyTrip. We believe this joint promotion will accelerate the transition from off-line to online hotel bookings in India and provide high exposure for the MakeMyTrip brand to more than 100 million IPL spectators worldwide. Lastly, let me comment on our continued investments in new technology this quarter. According to a recent Nielsen study, India has an estimated 14 million smartphones in use. We are firm believers that mobile will become an integral part of our customers' shop for our products and services in the future. As you know, MakeMyTrip is available across all major smartphone platforms, including Android, BlackBerry and iOS. Today, our customers can book domestic flights, hotels, buses and research available holiday packages all through their smart devices. Since launching our mobile strategy, more than a million MakeMyTrip apps have been downloaded and mobile now represents more than 10% of our total monthly unique visitors. More importantly, nearly 10% of all stand-alone hotels, including nearly 1/3 of last-minute hotel deals are being booked via mobile devices today. Going forward, we will look to increase the available travel offerings while continuously enhancing the mobile user experience with MakeMyTrip. Now I'd like to hand the call over to Rajesh.
Rajesh Magow: Thanks, Deep, and hello, everyone. As Deep mentioned earlier, this year has been quite a challenge due to tough macroeconomic conditions, by shrinking air market and earlier-than-anticipated changes in travel agents' compensation. In light of all these headwinds, we still achieved nearly $1.2 billion in total gross bookings for the full fiscal year. We also achieved $88.2 million in total annual net revenue, representing close to 12% year-on-year growth in constant currency terms. These ongoing challenges compelled us to sharpen our focus on expanding the Hotels and Packages business and on improving our net revenue mix. Our net revenue in H&P grew by 146.1% in constant currency for the quarter and 65.7% for the full year. And we improved net revenue margin year-on-year in the quarter. In Q4, our H&P net revenue margin was 12.3%, an improvement from 11.1% in Q3. This was achieved by earning higher margins through increased booking volumes with select hotel partners, as well as reduced reliance on the promotions that were introduced in Q3 to drive online bookings as online hotels gained traction in this quarter. Now for our Air Ticketing business. We maintained our net revenue margins steady and achieved 13% quarterly transactions growth year-on-year despite the overall air market decline in the quarter. As mentioned on our last earnings call, we do not expect to see expansion in air net revenue margin from current levels for the foreseeable future. In the quarter and the full year, we reported adjusted operating losses as a result of the lower year-on-year net margin decline in our Air Ticketing business and the investments we continue to make to accelerate our revenue mix towards Hotel and Packages, including the acquisition of HotelTravel.com. Definitely, we are in the process of adjusting our overall operating cost structure to reflect the lower air net revenue stemming from earlier than anticipated commission reduction, which took place halfway through the fiscal year. In the past quarter, we reallocated resources to our Hotels and Packages business and renewed the company-wide focus on front and back end automation. However, as Deep mentioned earlier, we continue to invest in focused marketing efforts to drive brand and hotel product awareness. In the coming fiscal year, we will begin to see the benefits of our myriad strategic investments and cost-optimizing initiatives. However, we are cautious about our ability to generate adjusted operating profit in the new fiscal year given the uncertainty in the domestic air market and our ongoing investment in the online hotels business. Nonetheless, the strength of our balance sheet enables us to make the right investment to ensure that our leadership in India's online travel market will be sustainable. Lastly, while recent FBI [ph] actions in the airline industry and the announced entry of foreign low-cost carriers into India is positive news for passengers, we have to remain cautious on the growth in our air business until there is better visibility. On a positive note, we are encouraged by the traction we are seeing in the underpenetrated online hotels and holidays business and excited about the scalability of HotelTravel.com for travel to Southeast Asia, which should help sustain high-growth rate in the H&P business in this fiscal year. With that context in mind, we are initiating our full year fiscal 2014 net revenue guidance with 15% to 20% constant currency growth which is equal into $101 million to $106 million at the planned exchange rate of INR 54.4 to USD 1. Operator, we can now begin the Q&A session.
Operator: [Operator Instructions] And your first question comes from the line of Lloyd Walmsley of Deutsche Bank.
Lloyd Walmsley - Deutsche Bank AG, Research Division: Wondering if you can just give us any color on what you think air margins will do for the rest of -- or, I guess, going forward, do you expect them to continue trending down this year? And a second question if I may, if you could give us kind of organic growth in the H&P segment in terms of transactions and bookings, excluding acquisitions and then kind of an outlook on where you see the H&P segment as a percent of the revenue mix kind of for this fiscal year.
Deep Kalra: So as for the Air Ticketing business margin, net revenue margin, is concerned, so as of now, what we estimate for the current year is going to be in the range of between 5% to 5.5%. And this quarter, 5.3%, last quarter was also 5.3%. And until the time there is any other new development that comes to life, we expect that it should stay between 5% to 5.5% in the current year. That's what our current estimate is. And as far as the product mix for H&P or the contribution from H&P business is concerned, in this year, our total non-air business contributed, as we mentioned, about 35% of the total net revenue. Going forward, we expect this mix to improve in the current year to probably about 45%-odd coming in from H&P.
Lloyd Walmsley - Deutsche Bank AG, Research Division: And then any color on "x acquisitions" on the H&P side?
Rajesh Magow: The way we are looking at the overall H&P growth, if you will, is consolidated. We are actually not really splitting between organic and inorganic, because the HotelTravel.com acquisition is very integral part of our international hotel strategy, including the hotel booking for the Indian consumers. So the way we are kind of looking at it, more an integrated and a consolidated approach, not necessarily independently and driving that and also tracking that separately. So I would recommend we should look at overall H&P mix and H&P growth and not necessarily splitting the MakeMyTrip and HotelTravel.com separately.
Lloyd Walmsley - Deutsche Bank AG, Research Division: I would imagine that's because you're taking a lot of the inventory and intermixing them. Are you seeing a lot of uptake, I guess, in your core customers on that new inventory? Does it seem to be helping you in terms of bookings on that basis?
Rajesh Magow: Yes. We have added a lot of inventory, like we had highlighted earlier and in this call. So in the script also, we mentioned over 90,000 hotels and that has been integrated that have come from HotelTravel.com. And we have also done cross-integration of exposing our inventory of 10,000 hotels through the HotelTravel.com site as well. And we have seen traction. We -- and like Deep was mentioning on the -- early on, on the call that the integration is in progress and we, you know, we are moving ahead, on track on that. Have seen some traction already. Early days, but we are very confident that as we continue to just keep making investments and complete the integration on all fronts, we would definitely see our overall online hotels business growing, which is -- which will be a combination of domestic business as well as international business.
Operator: [Operator Instructions] And your next question comes from the line of Manish Hemrajani of Oppenheimer.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: Good growth from the hotel side of the business. Can you tell us some of the initiatives there which is helping you grow at such a rapid pace in hotels? And also, what was the contribution of HotelTravel.com in the quarter? And is that business growing at or below the corporate average for your string of hotels?
Deep Kalra: Hi, Manish, this is Deep. Manish, as I just mentioned already in the call, but I'd love to give more color on this, I think the growth which we are really seeing on both domestic hotel uptake as well as international stand-alone hotel uptake is really a function of 3 things coming into play together. We have been working very hard on the supply side. We have got 10,000 hotels in India and it's not really a question of getting these guys on board, but it's really doing more and more work with them. I think it's fair to say that we work fairly closely with probably about 60% of these hotels, and that does seem to be -- there does seem to be some kind of [indiscernible] in place as well. So while we're not doing a lot of business with all 10,000, we're definitely getting coverage to about 2/3 on a regular basis. And I think it's taken some time to educate the small hoteliers, the independents, of the benefits of putting their inventory online with us, of updating the extranet regularly. The folks who have direct connects, obviously, you get last-minute inventory but the real challenge has been with the independents. And I think the work that we've done on this over the last 12 to 18 months is really paying off. Our market managers have been spending a lot of time with them. We've prepared educational tutorials and kits. And then when we get new hotels, we sign up online, we do make an extra effort to get them to see business that comes through our channels and that, I think, is working well on the supply side. Further we're going back with -- to these hoteliers on a regular basis with MIS, with some detail on how that hotel is doing within their own context and that is something which hoteliers, I think, are finding very valuable: see what's happening in the market, how they are [indiscernible], how they are doing this in terms of occupancy, what is a comparable spec. And that's something which we are automating now and reaching out to the hoteliers with on a regular basis. On the front end side, a lot of work has been done on the features for hotels. We mentioned Last Minute Hotel deals, which was an altogether new offering, which allows a customer to check in on the last day itself and get deep discounts. Currently, actually ranging from a minimum of 30% upwards, and this would be available not only on the website -- desktop website, but also on all the mobile platforms. We're seeing a lot of traction here. About 1,500 hotels participating currently on this program and the idea is to actually get them to see incremental business coming out of this and in not in any way cannibalizing any upsell on the business. So this is only for genuine last-minute travelers and there are various ways and methods we are employing to make sure that this is -- in terms of offers that it's intended for. Some of the other features have been around the content side, much more content, richer content. We are now seeing videos coming in for several key destinations and hotels. A lot more reviews, both from our own customers, as well as TripAdvisor reviews, which are helping customers make up their minds. The mapping has become much easier. So we're seeing a lot of that uptake. And thirdly, I think what we call now the promo calendar, which is really the -- connecting the dots between when customers want to purchase on the basis of we have now history for several years in terms of what their advance purchase cycles are for different destinations and going out and working with those hoteliers in a closer manner and also doing a lot of proactive marketing, both to our own customer base, through targeted e-mailing, as well as promoting the right kind of hotels on the site and also reaching out through other channels online and off-line. As we mentioned, we've done something with cricket which is obviously the biggest game in India and does seem to occupy a lot of people's Mindshare as well as iBall. And we are seeing good results coming out of that as well. So I think a variety of factors with online and a lot more focus, of course, going on. On the mobile side, too, the offering has got enhanced, and we find of last minute 33% or more of the deals actually coming onto mobile, which seems logical. But the [indiscernible] people are typically on the move when they extend this trip or can't get back on the same day, need to stay back, et cetera, and that's working very well. Coming to your second question on the split, as Rajesh just mentioned, we are looking at both Hotel Travel and MakeMyTrip hotel business together. We are not really splitting that out right now for the reasons of cross-pollination. We are using shared inventory for both and, therefore, we're not -- but I think it's fair to say that the majority of that business is our organic business coming out of MakeMyTrip.
Rajesh Magow: And if I could just add to what Deep said, Manish, in this quarter that we reported, almost all -- majority of or almost all of this growth is coming off the -- as far as the H&P income growth is concerned coming from the organic business, this year which would be baked in the guidance, with the -- some more contribution -- significant or material contribution coming in from Hotel Travel. But so far, pretty much everything is coming from the organic growth.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: And is the growth rate in Hotel Travel similar or below your corporate average for hotels?
Deep Kalra: It's actually too early to say. Like we said, right now we're just trying to make sure that the integration on all fronts is complete, the backside, product side, marketing side, all the initiatives right now, are all work in progress. So maybe quarter, it will be fair, I think, to probably expect us to come back on probably a quarter or 2 quarters down the line.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: Okay. Given that a large portion of your hotel business is still off-line, can you help us understand the dynamics in the cost side, especially SG&A and revenue growth? In other words, as the Hotel business continues to grow, should we expect to see cost go up in conjunction? Or how much leverage is there in the off-line hotel business?
Deep Kalra: Yes. So that's a fair question. Actually, hotel holidays, which is a large part of this holidays business, is the off-line. Actually, almost all of the hotel business is all online. And the mix is changing in favor of, I mean, the growth rate is higher relative to growth on the holidays is growing at a very good rate as well. But online hotel, the growth is definitely faster and higher. And from a leverage standpoint, more and more we've changed the overall H&P mix in favor of online hotels. We will get the cost advantage and definitely, because online hotels and their sales channel, and to a greater extent, service could also be automated and online, where you would not need more people to support or guide the sale or support the business. So as we're moving into that direction, clearly, we are seeing lot of traction on the online hotel side and the whole -- the strategic move of hotel and travel, HotelTravel.com in terms of just growing that international side of business, is also in that direction. So overall, we are moving into that direction even for holidays. Of late, we've seen a lot of traction coming in from the customer side to definitely leave queries on the Internet, which we cannot call, call them back and then convert them. This clearly means that there is -- they are already on the website and there are some of the packages they're actually booking online as well. So we're booking really, making some significant investments to improve the customer experience on the website even for the holiday side, also making investments to enhance the content on the holiday side and clearly making all the investments to directionally or from a strategic standpoint, to move as much as we can move online. And as we improve, like I said, as we improve the online contribution of the total H&P business, we would start getting more and more leverage on the cost side.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: Okay. Got it. And then on the slide, passenger air traffic was down for the quarter, but you saw air traffic turn volatile for the month of March, up 5% year-over-year. First time, I believe, since May of last year that we saw positive growth. When do you expect to start consistent year-over-year growth in passenger traffic as we anniversary out the [indiscernible] impact?
Rajesh Magow: Yes, so we expect it probably will start coming back overall probably in the month of July. I don't know if you saw April number. The April numbers are again a little over 2% down year-on-year. So March could well be an aberration. So we will have to wait and watch for the growth to come back for at least 2 or 3 months [indiscernible] to just kind of conclude that the overall year-on-year demand is kind of coming back. As the fares kind of get rationalized, more [indiscernible] come in and the supply improves. Current estimate -- very rough current estimate is that probably in -- it would start happening in the month of July.
Manish Hemrajani - Oppenheimer & Co. Inc., Research Division: Got it. Last one for me, coming to your guidance. $101 million to $106 million for next year, looks a bit conservative year especially given the growth rate that you're seeing on the hotel side of the business. What are you assuming in terms of growth rate for air for next year?
Rajesh Magow: So we are not splitting, Manish, the growth, I mean, in terms of just going out. Because it's very hard to estimate right now. We want to be absolutely cautious about it, that we kind of point that out in the script as well. Like I said, even April numbers on the overall market growth is not encouraging at all. And we don't see any improvement in the net revenue margin on the air side as well. So we are just starting very cautiously out there, not necessarily anticipating any growth in the air business. And therefore, whatever growth is coming, is coming from more H&P business. And given the fact that H&P contribution at this point in time is about -- or rather non-air business contribution is about 35%, as we get into the current fiscal, we have baked all these factors in to come out at the overall revenue growth range of 15% to 20% to start with. As we go down and as we see macro improving, like we have done in the last fiscal as well, we would be -- we'll continue to watch this attrition and obviously, see the performance on the ground and come back every quarter with the latest update on that.
Operator: Your next question comes from the line of Chad Bartley of Pacific Crest.
Chad Bartley - Pacific Crest Securities, Inc., Research Division: The H&P net revenue margin improved sequentially, which was good to see after the decline in December. Can you talk about how you think about that? How you'll manage that this fiscal year and if we could potentially see any more volatility or should that hold fairly steady?
Rajesh Magow: So, yes, definitely in this quarter, we came back on H&P margin to about -- to 12%. And like we had highlighted last call as well, that it was not necessarily -- the decline was not necessarily from the supply side, so there was no real change in the contracting terms or the pricing that we were getting from the supply side. It was more special offers, some kind of discount offers or the dilution of margin that we need to drive this transaction growth and which we did do in this quarter and margin came back. And if you see the full year, it's about 12% as against last year, full year, it was about 11.9%. So a slight improvement over there. Going forward, we believe that the -- barring some -- and between the quarters, if there is anything different that we need to do like we did in Q3 last year, which we can only know when we are kind of dealing with the market in that particular quarter, but overall, directionally, on a full year basis, we do see some improvement, incremental improvement in the coming years as well. So whether that improvement is 0.25% or 0.5% in the beginning of the year, we estimate that it could be between 0.25% to 0.5%. So -- but as we go into the year and following quarters, we will keep updating with the latest on that. But definitely, on a full year basis, we do estimate at this point in time, some incremental improvement.
Chad Bartley - Pacific Crest Securities, Inc., Research Division: Okay. That's very helpful. And last question is in terms of your efforts to optimize expenses, control expenses, will that help you or cause you to swing back to breakeven or positive in terms of your operating margin and EBITDA this fiscal year?
Rajesh Magow: So that's what I was just trying to actually articulate in the script as well, that given the overall market condition at this point in time and the revenue and growth rate that we have given out as part of our guidance, we want to -- and the fact that we are investing into this, growing the H&P contribution to the overall business and the underpenetrated online hotel market business and online holidays market, it's clear significant headroom on there, but it also calls for investment at the same time. So we want to be cautious on the profitability for this year and do not want to estimate at this point in time that we would be able to make profit in this year, at least at this point in time as the current estimates stand at this point in time. And we'll go with that assumption at this point in time, but we will see all the cost of -- while the automation, all the cost optimization measures that we took recently, we want to see the impact of that in the following quarters. And if the overall macro situation improves, we get some surprises from the marketplace out from the revenue growth perspective, then we would want to probably come back and revise that general comfort and estimate around that. But at this point in time, we do not think that, really, given the overall macro situation and the reasons that I just called out that we would end up making profit this year.
Operator: This ends today's question-and-answer session. I would like to hand the call back over to Deep Kalra and Rajesh Magow for any closing remarks.
Deep Kalra: If there are no other questions, then I think we will conclude the call. Jonathan, would you like to comment?
Jonathan Huang: Yes. Thank you, everybody, for listening to our fiscal fourth quarter and full year conference call. We look forward to speaking with you again next quarter. Thank you so much.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect, and have a wonderful day.